Operator: Good morning, ladies and gentlemen. And welcome to the Kemper’s Third Quarter 2014 Earnings Conference Call. My name is Dana, and I’ll be your coordinator today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, the conference is being recorded for replay purposes. I would now like to introduce your host for today’s conference, Ms. Diana Hickert-Hill, Vice President, Investor Relations and Corporate Identity. Ms. Hickert-Hill, you may begin.
Diana Hickert-Hill: Thank you, operator. Good morning, everyone and thank you for joining us. This morning you will hear from three of our business executives, starting with Don Southwell, Kemper’s Chairman, President and Chief Executive officer; followed by Denise Lynch, Kemper’s Property & Casualty Group Executive; and Frank Sodaro, Kemper’s Senior Vice President and Chief Financial Officer. We will make a few opening remarks to provide context around our third quarter result. We will then open up the call for a question-and-answer session. During this interactive portion of the call, our presenters will be joined by John Boschelli, Kemper’s Vice President and Chief Investment Officer and Ed Konar, Kemper’s Life and Health Group Executive. After the markets closed yesterday, we issued our press release and financial supplement. In addition, we filed our Form 10-Q with the SEC and you can find these documents on the Investor’s Section of our website, kemper.com. Please note that our discussion today may contain forward-looking statements. Our actual results may differ materially from these statements. For information on potential risks associated with relying on forward-looking statements, please refer to our Form 10-K filed with the SEC on February 14, 2014, as well as our third quarter 2014 Form 10-Q and earnings release. This morning’s discussion includes non-GAAP financial measures that we believe may be meaningful to investors. In our supplement and earnings release, we have defined and reconciled non-GAAP financial measures to GAAP where we required, in accordance with SEC rules. And finally, all comparative references will be to the third quarter of 2013, unless we state otherwise. Now I will turn the call over to Don Southwell.
Don Southwell: Thank you, Diana. Good morning, everyone, and thanks for joining us on our call this morning. I’ll provide a few opening comments including an update on our Life and Health segment and our investment performance. Denise will update you on the Property & Casualty segment performance. Frank will cover financials, capital and liquidity. I’ll then close with a few remarks on our capital deployment before we go into the question-and-answer session. Let’s start with the total view. At the end of the quarter, we announced the $35 million after-tax write-off of software for the Property & Casualty group. We included this non-cash charge in net operating income, but it’s also in structured to consider our performance without the charge to better see trends, which included underlying improvement in many areas. So, in total, our net operating income decreased $37 million to $2 million. Excluding the software write-off, net operating income for the quarter was almost flat with prior year as improvement in the Property & Casualty underlying loss ratio nearly offset lower net investment income. Turning to our Life & Health segment, we had a good quarter but not as good as last year. We reported $20 million of net income, down $3 million. Net investment income and lower premium revenue drove the decline. These were partially offset by lower benefit payments and insurance expenses. Premium revenue for the quarter was down 4% although flat sequentially, primarily from a lower level of accident and health insurance premiums. Most of this premium decline is due to the non-renewal of a portion of Reserve National’s hospitalization policies. These were required to be non-renewed in 2014 in accordance with the new National Healthcare Law. In addition, many of these hospitalization policyholders also owned other Reserve National supplemental policies which they allow to lapse when the mandatory hospitalization non-renewal occurred. Partially offsetting this decline was an increase in premium revenue from new supplemental products which totaled about $2 million in the quarter. Life insurance premiums decreased 2% in the quarter with the decrease in Kemper’s Home Service Life Premiums being partially offset by an increase in life premiums from Kemper Senior Solutions. Net investment income supporting the Life & Health segment decreased $7 million with about $4 million coming from equity method investments where we do expect some volatility and the remainder coming from lower income from other equity interest and lower yields in this low interest rate environment. In total, insurance expenses declined in line with the decrease in earned premiums. We continue our investment to grow the Kemper Senior Solutions and Kemper Benefits businesses, but some of this spend was offset by lower operating expenses at Kemper Home Service. Kemper Senior Solutions and Kemper Benefits generated $5 million in earned premium in the quarter. I’ll remind you that these businesses are still in the early stages, so while market reception is favorable, expenses are still high relative to premiums, producing some drag on current earnings. Now, I’ll turn to our overall investment portfolio performance. We continue to see solid results, given the challenging investment environment. Our total return was positive for both the quarter and year-to-date, coming in about 1.3% and 7.4% respectively. This was driven by increased bond values from declining interest rates and equity appreciation. For the year, we have purchased $400 million of fixed maturities. This included purchasing more than $280 million of investment grade bonds with the pretax equivalent yield of 4.5% and more than $120 million of non-investment grade bonds to replace most of the non-investment grade redemptions to-date. So, our diversified fixed income portfolio remains 93% investment grade. We do not expect a material change in our overall non-investment grade fixed income allocation. Now, I’ll turn the call over to Denise to discuss our Property & Casualty segment results.
Denise Lynch: Thanks Don. Property & Casualty Insurance segment reported net operating loss of $14 million, down from net operating income of $23 million. Excluding the software write-off, Property & Casualty net operating income was $22 million, with solid improvement in the underlying book of business. Overall, our underlying loss in LAE ratio results continued to improve. In the quarter, underlying loss and LAE ratio improved 3.5 points, with six of the last seven quarters showing quarter-over-quarter improvement. We feel good about the profitability momentum and look forward to continued progress. Overall, catastrophe losses were below our expectations, but not as low as third quarter of 2013, which was an unusually light catastrophe quarter. While we remain focused on improving profitability, we are also addressing top-line challenges. Overall, net written premium was down 11% primarily as a result of our delivered actions to improve the overall quality and price adequacy of our book of business and to reduce catastrophe exposure. We are encouraged by agent engagement trends on new business and look forward to continued progress. As we implemented profit improvement strategies, we have also seen pressure on the retention front. While our premium retention is lower than expected, we feel good about the risk quality and improving price adequacy of the book of business. Turning to expenses, excluding the software write off, our total expenses were down over 7 million as we are benefiting from lower acquisition costs, as well as from lower expense levels following the organization realignment we implemented earlier this year. That said we are seeing pressure on our expense ratio because of the lower premium level. Earlier in the year we indicated we are targeting 2 to 4 point improvement in our underlying combined ratio in 2014. While we are achieving progress on the underlying loss ratio, the expense ratio deteriorated with the decline in earned premium. We expect the pressure on the expense ratio to persist. Now I will provide some color on each of our lines of business; I’ll start with auto. Private passenger auto experienced the biggest revenue pressure with net written premium declining 13% with roughly 20% of that decline related to the run-off of our direct-to-consumer business. New business levels are starting to improve, but written premium is down. Blended premium retention, which includes both standard preferred and non-standard books, was down 4% to 74.2%. The loss in LAE ratio improved 1 point as a 3 point improvement in the underlying loss in LAE ratio was offset by higher catastrophes and a lower level of favorable reserve development. Average earned premium increased more than 3% and exceeded loss cost trends. Our low single-digit loss cost trends are mostly consistent with the industry. In the last year, bodily injury frequency has declined or bodily injury severity has increased by low single-digits both consistent with the industry. Property damage and collision loss costs have escalated by mid single-digit, also consistent with industry trends. In commercial auto, net written premium increased 8%, the loss in LAE ratio was 78%, with the underlying loss in LAE ratio up 1 point to 82%. This remains an area of focus as we continue to shift the books to lower weight vehicles and lower liner policies. In homeowners, net written premium was down 8% from both lower new sales volume and lower premium retention. Premium retention was down 7 points to 84.7%. Home loss and LAE ratio improved 7.3 points to 58.9%. While catastrophe levels improved sequentially, they are still higher than what we saw in the third quarter of last year, which was a live catastrophe quarter. Homeowners underlying loss and LAE ratio improved 9 points to 49%, reflecting an increase of 11% in average earned premium and flatter premium returns. We’re pleased with the continued progress we’re making on homeowners as a result of our focused profit improvement actions. So, looking at the Property & Casualty segment in total, performance and outlook improved in the following key areas. Our underlying loss and LAE in auto and homeowners improved quarter-over-quarter in six of the last seven quarters. Underwriting expenses were down $7 million year-over-year and we continue to have a sharp focus on expense management. New business writings improved each quarter of 2014 and for direct-to-consumer run-off continued to proceed well. We remain focused on driving initiatives to improve profitability, while gradually improving premium retention and new business. Now I will turn the call over to Frank.
Frank Sodaro: Thanks, Denise, and good morning, everyone. Today, I’ll cover Kemper’s overall third quarter 2014 performance, capital and parent company liquidity. We reported net income of $5 million or $0.09 per share compared to $70 million or $1.23 per share last year. Our net operating income was $2 million or $0.04 per share for the quarter compared to $39 million or $0.69 per share last year. Both net income and net operating income included the previously announced software write-off of $35 million after-tax or $0.67 per share. Total revenues were $540 million for the quarter, a decrease of $96 million, resulting from a $45 million decline in earned premiums; $41 million lower net realized gains and $10 million lower net investment income. $39 million of the decline in earned premium was from Property & Casualty, of which $7 million was from the continued runoff of our direct-to-consumer business and $6 million was from lower Life & Health earned premiums. The net investment income decrease of $10 million was driven by lower income on our equity securities, fixed maturities and equity method investments. The third quarter annualized pretax equivalent book yield on average invested assets was 5.1%, down about 80 basis points from last year. Now I’ll discuss the financial results of each of our businesses. The Property & Casualty Insurance segment reported a net operating loss of $14 million for the quarter, compared to net operating income of $23 million last year. The current quarter results included the $35 million software write-off. Excluding this impairment, the Property & Casualty segment’s combined ratio improved 0.8 points to 96.1% for the quarter driven by improved underlying loss in LAE results partially offset by higher calendar quarter catastrophes and higher expenses as a percentage of earned premiums. The underlying loss in LAE ratio improved 3.5 percentage points to 66.8%, primarily from higher average earned premium rates in personal auto and homeowners. Catastrophe losses and LAE were $14 million in the quarter compared to $10 million last year. Insurance expenses excluding the write-off, dropped $7 million, but the expense ratio increased 1.4 percentage points to 28.1% in the third quarter, driven by the lower premium base. Now shifting to Life and Health insurance segment. Net operating income was $20 million for the quarter, compared to $23 million last year. In the third quarter, net investment income decreased $7 million, compared to last year. Insurance expenses decreased $4 million; as well our home service agent commissions and lower legal expenses were partially by higher startup costs related to our Reserve National growth initiatives. I’ll now cover book value, capital and parent company liquidity. Book value per share was $39.96 at the end of the quarter, up more than 8% from year end, largely from the impact of lower market yields on our fixed maturity portfolio. Book value per share, excluding unrealized gains on fixed maturities was $35.31, up 2% from year end due primarily to the impact of net income. Statutory surplus levels in our insurance companies remain strong. And we estimate that we will end the year with risk based capital ratios of approximately 430% for our Life & Health group and 330% for our Property & Casualty group. Overall, we estimate that we ended the quarter with more than $250 million of excess capital. The software write-off did not impact our calculations of excess capital or statutory surplus because the asset was not admitted for statutory accounting. During the quarter, the Life & Health group paid a dividend of $54 million to the holding company and we’re planning for our insurance subsidiaries to pay additional ordinary dividends of at least $25 million during the fourth quarter. Turning to liquidity. At the end of the quarter, the parent company held cash and investments of about $300 million, and our $225 million revolver remained undrawn. Now I’ll turn the call back over to Don.
Don Southwell: Thanks, Frank. As you just heard, we are in a strong capital position. Our long-term capital deployment priorities remain unchanged. First, funding profitable organic growth; second, strategic acquisitions; and third, returning capital to shareholders, both through share repurchases and dividends. We make our near-term decisions within this framework as we evaluate options. Beginning with our first priority, we are selectively funding organic growth in certain areas that in total premium revenues are declining in 2014, as we shared with you earlier. As a result, organic growth will not use capital this year. As for our second priority, we routinely evaluate opportunities for strategic acquisitions and are keeping some powder dry. Turning to our third priority, returning capital to shareholders. We repurchased more than 800,000 shares in the third quarter. In addition, we maintained our comparative dividend. In total, we’ve returned $43 million to shareholders in the quarter and $146 million year-to-date. When we look at our progress overall, we are pleased in some areas and remain committed to continuing our turnaround in others. We’re optimistic about our prospects. With that, I’ll turn the call back over to the operator, so we may take your questions. Operator?
Operator: Thank you. (Operator Instructions). And our first question comes from [Carl Dorian from Raymond James]. Your line is now open. Please go ahead.
Unidentified Analyst: Thank you and good morning.
Don Southwell: Good morning.
Unidentified Analyst: Good morning. So I had a couple of questions. First of all, I was curious about what your latest thoughts are on telematics?
Don Southwell: Can you share grab that one?
Denise Lynch: Sure, I’d be glad to grab that. Good morning. We’ve been looking into telematics and various applications of telematics both from a rate perspective and customer experience perspective. And what I’d say as we continue to look at that and continue to examine exactly when and how we want to apply telematics in our business model.
Unidentified Analyst: Say it again? And I also had I guess a couple of more. I was really interested also in any thoughts you guys might have on the pricing cycle in homeowners. Are we near the top or is there something left?
Denise Lynch: I’ll take that one as well. Our point of view from our book of business is that we’ll continue to evaluate how our book is performing relative to expectations, we’ll continue to look at what indications tell us about the book of business and loss trends and then we’ll continue to take an appropriate amount of rate or other underwriting actions to achieve the outcome that we want. Looking more broadly in the marketplace, we do continue to see I’d say disciplined underwriting and disciplined rate taking in the homeowners’ marketplace.
Unidentified Analyst: You guys haven’t made up your mind or have any thoughts on where exactly industry is as far as the market as a whole?
Denise Lynch: Homeowners, it’s a volatile marketplace particularly when I think about catastrophes. This year maybe for the industry is turning out perhaps to be a lighter year and last year was the lighter year, but there is still volatility that can affect carriers in very different ways. I guess I think about it and I think that carriers are in different places. And so, I guess I believe that there is still some need to continue to address profitability and to get appropriate returns over the long-term and not just in a single year. So, I’d say that there is still some need for rate in the industry and we’ll continue to see that.
Unidentified Analyst: And if I can sneak in one last one. How much of the related to the Reserve Nationals, how much of the non-Obama Care policies have you guys sold in the fourth quarter of last year, if you have that number?
Don Southwell: I’m sorry could you repeat the question?
Unidentified Analyst: The non-Obama Care hospitalization policies for Reserve Nationals sold in the fourth quarter of last year?
Don Southwell: Yes. We don’t sell any policies that are part of the Obama Care exchanges, all of the policies that we sell are various kind of supplemental products that are not subject to those rules. That answers your question?
Operator: Thank you. And our next question comes from Paul Newsome from Sandler O’Neill. Your line is now open. Please go ahead.
Paul Newsome - Sandler O’Neill: I would like to maybe talk a little bit more about the old goal of reaching a 10% ROE in light of the shrinkage in the size of the business on both the Property & Casualty and Life side of the business. Are we getting to a point given the decline in the business where the scale is such that both sides of the business really can’t give us a double-digit ROE? And if that’s the case then is the next thing for us to follow rebuilding that scale?
Don Southwell: Scale is certainly an issue and more scale makes things easier. I would say that given top-line trends that we’ve seen, we’ve got some temporary expense ratio pressures, but that we’re not materially in a different place as far as our ability to achieve. It does push out our timeline and we’ve constantly talked about also looking for opportunities to grow through acquisition. So, we see the same thing. You’ll see that it’s easier with more scale and we’d like to have more scale, but we want to do it in a smart way. And we’ll look for smart ways to build our scale.
Paul Newsome - Sandler O’Neill: I guess one of the things I’m struggling with and I don’t know if you can respond as detail as I would like is that, I am having trouble coming up with how to come up with more than a ROE that’s in the mid-single digits in general, especially given -- it looks like your portfolio yield may be falling given where interest rates are at. The Life side, you’ve got the A&H business that’s going away in part because of the Obama Care. And then obviously, the P&C side has shrunk a lot this year as well. And so, I’m having trouble and given where your capital position is and desire to hold excess capital. I am having trouble coming up with those pieces. Is there any way you could kind of walk us through how those pieces, not necessarily next year, but over the next couple of years could move in a way that would give you a higher ROE?
Don Southwell: Yes. There is really four elements we’ve talked about that are necessary to get us to double-digit ROE and one of those is just simply that cats are normal. So in any given year, you’re going to have some volatility due to cats, but normal cats is one element of that. And continued improvement in P&C profit margins, we’ve talked about getting our combined ratio down in the 95 range and that’s an important element. Third important element is increasing interest rates, because we believe that they will happen, timing is difficult. But particularly given our life business, interest rates staying where they are, are not conducive. So, we’ve planned on interest rates to move pretty much as the Federal Reserve base case scenario projects. And that is a slower projection, slower growth this year than they projected last year. But increasing interest rates is certainly part of what will be required. And most importantly, it’s full deployment of capital. And we would like some of that deployment come in terms of growth and entirely in terms of returning to shareholders. Is that helpful Paul?
Paul Newsome - Sandler O’Neill: Absolutely. Thank you very much.
Operator: Thank you. And our next question comes from Matt Carletti from JMP Securities. Your line is now open. Please go ahead.
Christine Worley - JMP Securities: Hi, it’s actually Christine Worley standing in for Matt. Just had a couple of questions on your exposure management, looking at the top-line. Given previous guidance, we would have thought that we would have -- the pressures that we are seeing that would have started to ease by now. Could you sort of give us an update on where we are with that? Are we starting to turn a corner, should we expect these double-digit top-line declines to continue for at least the next couple of quarters?
Denise Lynch: I think for us in Property & Casualty, we’re starting to see some trends improve on new business. I think I’ve shared that we’re focusing very much on the agent experience and our sales rep deployment making it easier to do business with. And we’re seeing that translate into improved new business certainly on a sequential basis, so we like that. The pressure really has been on the retention and that really reflects a lot of the hard work we’ve been doing in our pricing and improving our price segmentation as well as our catastrophe management work. So, that’s where we’ve seen the biggest impact certainly to the book of business. And it’s the right thing for us to do. We like the outcome on the underlying loss improvement; we like the outcome in reducing some of the catastrophe exposures. So, those are the right things to do but we do expect some pressure there.
Christine Worley - JMP Securities: Okay, so it sounds like continued pressure on the retention side, but some improvement on the new business side?
Denise Lynch: Right.
Christine Worley - JMP Securities: Okay, perfect. And then yes, you touched on it in your previous answer, but the accident year loss ratio improvement that we’ve seen throughout the year, is that reflective of the exposure management actions that you’ve taken or is it more sort of looking at where the book is running for the year and trying to true up where you think it will eventually fall out or where it should fall out?
Denise Lynch: We really have been working for a good period of time of improving our underlying accident year improvement and it’s been more deliberate than catastrophe management, exposure management; it’s included risk selection and price adequacy and really all through our operations. So we’ve actually been at this for a good period of time. And so, when I look at our underlying results, I really attribute it to a lot of that hard work between underwriting and exposure management and price adequacy. And actually, there is always a loss trend that goes into that, that’s environmental in nature that may influence. But when I think about our progress, our progress absolutely reflects the hard work of improving profitability.
Christine Worley - JMP Securities: Okay, perfect. Thank you very much.
Operator: And our next question comes from Adam Klauber from William Blair. Your line is now open, please go ahead.
Adam Klauber - William Blair: Thanks. Good morning, everyone. A couple of questions. Can we go over to cash available for dividends and buybacks? Frank, I think you said maybe you have $300 million at the holding company. How much of that is -- how much cushion do you usually keep in?
Frank Sodaro: You’re correct. We have about $300 million of cash and short term investments at holding company. We target somewhere between $40 million and $60 million for cushion.
Adam Klauber - William Blair: Okay. And then I think you mentioned the dividends, I missed it. What’s your statutory dividends this year?
Frank Sodaro: We took $54 million up from the life group this quarter; we took $100 million up from P&C earlier in the year. We have remaining capacity at the life group of $25 million and at P&C group of about $38 million.
Adam Klauber - William Blair: Okay. And aside from profitability getting better or worse, is there any reason we should think next year, your dividend capacity should be any better or worse than this year from the subs?
Frank Sodaro: There should not be a material change to the dividend capacity from the subs.
Adam Klauber - William Blair: Okay, that’s helpful. On the technology write-off, you wrote off the software. I guess what direction are you taking now with your technology efforts?
Denise Lynch: Okay. I think I’ll take that one, Adam. It’s important to us to continue to build platforms that serve across our Property & Casualty business. So, we do intend to continue that pursuit and we’re in the process and we’re evaluating alternatives to continue that process.
Adam Klauber - William Blair: Okay. So, it sounds like we’ll hear more about that later. Is that a good way of thinking about it?
Don Southwell: Sure. The only thing I would add is that we’ve got some systems initiatives that are ongoing that are taking -- will allow us to improve things in the short-term as well. And we will continue those.
Adam Klauber - William Blair: Okay, okay. And then finally again; a lot of discussion on the improvement in underwriting and that’s a great sign. I think nine months I calculated the improvement in the underlying accident year for P&C was well over 200 basis points if you exclude tax and development. Could you -- was the -- how material is, I’m trying to phrase this correctly, how material is getting rid of it direct business to that improvement?
Denise Lynch: It’s an interesting question. I think the direct business was in quarter-end in the sense that there was a big expense item for us and we weren’t approaching our profitability target with the speed that we wanted to. So that certainly has been a part of it. But aside from the direct ongoing business has demonstrated really a substantial amount of improvement across all of our lines with the exception of commercial vehicle, which is the one that we’re still working on. So, our direct business was in the right decision for and has contributed to our improvement, but it’s really been across lines with the exception of commercial vehicle.
Adam Klauber - William Blair: Okay. Thanks. And sorry if you mentioned this before, what type or what level of rate increases are you putting in to the commercial vehicle line now?
Denise Lynch: It’s I think about 5% to 6% on our commercial vehicle book of business.
Adam Klauber - William Blair: Okay. Thanks a lot.
Operator: Thank you. (Operator Instructions). And our next question comes from Jason Busell from Millennium. Your line is now open. Please go ahead.
Jason Busell - Millennium: Hi, good morning. I’m sorry if I missed this earlier, I think in the release the book yield on the investment portfolio was 5.1%?
Don Southwell: John, is that an exact number?
John Boschelli: Yes. That’s for the quarter, yes.
Jason Busell - Millennium: And what is the new money rate?
John Boschelli: A broader question kind of, but we are investing across the platform of different types of investments. But what we put to work for the quarter in the investment grade area was about 450 pre-tax equivalent yield.
Jason Busell - Millennium: $450 million pre-tax, okay. And the -- I think to expand on Adam’s question, the holdco cash; I know that you have a debt maturity coming up next year. Is the intention to use some of that to retire given that -- I guess I’m trying to understand what debt-to-capital level the company expects to be running at and if that -- and if you currently expect to retire that maturity?
Frank Sodaro: So, the way we’re looking at it right now is we’re preparing to retire that maturing. We have -- when we issued our hybrid we committed to bring our debt-to-capital ratio down in line with where it’d been historically. So what we really are doing now is monitoring our options with the long-term intent to bring that ratio down more in line with where it has been. We have a 2017 maturity also out there, so we’re looking at our options and we’re monitoring it.
Jason Busell - Millennium: And Don, so where it’s been, you mean in the low 20s?
Don Southwell: That’s where it’s been historically.
Jason Busell - Millennium: Okay. Thank you. And then one follow-up for Denise. I know that you talked about retention falling. Were you referring to just home or auto, too?
Denise Lynch: I was referring to both lines.
Jason Busell - Millennium: And what is the retention now versus a year ago, outside of direct and auto and personal auto?
Denise Lynch: We don’t break that out, because we report now by segment.
Jason Busell - Millennium: Yes.
Denise Lynch: But the direct business continues to decline at about the same rate that it’s had been. So, but we report today on an all-line basis.
Jason Busell - Millennium: Okay. And I’m wondering, given the fact that you are facing challenges with retention, presumably some of the business you would like to keep -- what’s the up rate in the auto business that’s -- is it a rate issue? I guess I’m trying to understand why the non-direct to personal auto retention is facing challenges, because that’s not as cats exposed for you, obviously?
Denise Lynch: That’s true. We’ve been addressing the underlying performance of the auto book of business; we were dissatisfied with where it was performing and set out to improve that line several quarters ago as well. So, it’s really talking about improving the underlying book of business there in the auto. And as a result of that, we for several quarters now have been addressing that profitability with rate and underwriting risk selection actions primarily. And so, it’s from that work that we’re experiencing the pressure on retention.
Jason Busell - Millennium: Were there any regions in auto that you wanted to address with rate and underwriting actions or was it certain -- is it more on the nonstandard side or on the preferred side?
Denise Lynch: It’s really state specific we look at and product line specific. As we do our indications and evaluate the book of business and then make choices about applying rate. So it is by state and by line. So therefore, it will vary depending on what we see the trends being and where we see the line by state performing relative to our expectations. So, it’s variable.
Jason Busell - Millennium: Okay. And it sounded like from your comments regarding new business that the agent experience is improving, that you sound like you’ve got a good handle on these issues and they will probably turn around.
Denise Lynch: Yes, the new business we are seeing on a sequential basis, improvement in our new business and again we’ve been addressing that as well. So we expect that to continue to make progress.
Jason Busell - Millennium: Thank you. That’s all my questions. I appreciate it.
Operator: Thank you. And I’m not showing any further questions at this time. I would now like to turn the call back to Don Southwell for any further remarks.
Don Southwell: Thank you operator. Before we wrap up, I do have just a few comments on our results in the quarter in really four areas. In Property & Casualty, we continue to improve our underlying performance, but the software write-off line and the top line did pressure overall results. Our Life & Health segment profits were good but slightly lower due to reduced investment income and the expenses associated with funding our strategic growth initiatives. Our investment portfolio continued to deliver in a tougher investment environment. And finally, our capital and liquidity positions remain strong which afford us great flexibility. We continue to focus to deliver to the shareholder returns that we all do seek and we do appreciate your time, look forward to updating you next quarter.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program. You may all disconnect. Everyone, have a great day.